Operator: Welcome to the Corporate Office Properties Trust third quarter 2013 earnings conference call. As a reminder, today’s call is being recorded. At this time, I will turn the call over to Stephanie Krewson, COPT’s Vice President of Investor Relations. Ms. Krewson, please go ahead.
Stephanie Krewson: Thank you, Dominic. Good afternoon, and welcome to conference call to discuss the company’s third quarter 2013 results. With me today are Roger Waesche, President and CEO; Steve Riffee, Executive Vice President and CFO; Steve Budorick, EVP and COO; and Wayne Lingafelter, EVP of Development and Construction. As management discusses GAAP and non-GAAP measures, you will find a reconciliation of such financial measures in the press release issued earlier this morning, and under the Investor Relations section of our website. At the conclusion of management’s remarks, the call will be opened up for your questions. I will quickly highlight three of the improvements we have made to our supplemental disclosure. First, to be consistent with our practice of excluding assets targeted for disposition from same office, the same office pool in the third quarter supplemental excludes 16 properties that secured two CMBS loans we expect to extinguish. Second, we streamlined and greatly improved our debt disclosure to be consistent with how other investment grade bond issuers in a REIT industry report. Third, we’ve introduced the term core on a temporary basis to describe operating properties we intend to hold long term versus those slated for disposition. The term core appears on page 12 of the supplement where we disclose NOI and occupancy by property grouping and on pages 19 and 20 our lease exploration analysis. The purpose of creating this temporary subcategory is to give investors a better line of sight in the performance and expected lease rollover within the majority of our portfolio that we view as strategic whether that is determined by the type of tenant occupying the building or by submarket. As we complete planned dispositions we will no longer use the word core because all of our operating portfolio will either be part of our strategic tenant niche or office properties leased to traditional commercial tenants in strategic submarkets within the greater Washington DC region. Before turning the call over to management, let me remind you that certain statements made during this call regarding anticipated operating results and future events are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although such statements and projections are based upon what we believe to be reasonable assumptions, actual results may differ from those projected. Factors that could cause actual results to differ materially include, without limitation, the ability to renew or re-lease space under favorable terms, regulatory changes, changes in the economy, the successful and timely completion of dispositions, acquisitions and development projects, changes in interest rates and other risks associated with the commercial real estate business, as detailed in our filings with the SEC. I will now turn the call over to Roger.
Roger Waesche: Thank you, Stephanie. Good afternoon, everyone. The crux of today’s call is; one, our same office portfolio is well leased and stable; two we are creating significant value with our development pipeline; and three, we will continue to fund new construction through property dispositions. We expect occupancy for our current same office pool to grow slightly in 2014. Between now and the end of 2014, the non-renewals we expect are modestly higher than normal turnover in our portfolio, yet our visibility into our strong leasing pipeline leads us to expect continued stable performance in our same office and core portfolios. Our development pipeline consists of 1.3 million square feet that are 88% leased. In the short, medium, and long term we expect our development pipeline to add incremental value in three ways. First, we have $18 million of annualized cash NOI from 9 fully leased development projects that are not yet cash flowing. About half of this $18 million will positively affect NOI in 2014. Second, we have five recently completed buildings that have roughly 400,000 square feet of unleased space. When stabilized these buildings should provide an incremental $9 million of annualized NOI from today's levels. Third, we will continue to capitalize on our reputation and unique land positions to capture the growing demand for new space that we see in several of our markets. Our current shadow pipeline of development demand is approximately 750,000 square feet. Assuming we win and successfully execute all these opportunities, we would create about $16 million of annual cash NOI. We will fund our development pipeline through property dispositions as follows. The buyer of our 15 operating properties in Colorado Springs is in final diligence. The [CO] should close before year end and generate approximately $130 million of net proceeds. We will also free up debt capacity and improve our NAV when [we convey] properties securing two CMBS loans to the lenders and extinguish the related debt. These loans totaled approximately $300 million and are secured by 16 properties that we estimate have a combined fair value of roughly $200 million. The $300 million of delevering translates into a $100 million increase in net asset value or more than $1 per share. Additionally, our portfolio occupancy will improve by over 100 basis points and based on 2014 forecasted cash NOI, our exit cap rate equivalent on these dispositions is below 5%. Lastly, for 2.5 years, we have been intensely focused on disposing non-strategic properties as part of our strategic reallocation plan. I'm pleased to say that when we sell the 15 building portfolio in Colorado Springs, we will have effectively completed the SRP. And when we convey the properties securing the first CMBS loan, we would have exited the Colorado Springs market. With that, let me turn the call over to Steve Budorick to update you on our leasing and development activity.
Steve Budorick: Thanks, Roger. The demand for existing space in our markets is robust, and we expected to absorb the turnover from select tenants who are completing their space rationalization. In fact, we expect our same office portfolio occupancy to be nominally positive between now and the end of 2014. We forecast the renewal rate of approximately 60% over the next five quarters, which is only moderately below the company’s historical renewal rate of between 65% and 70%. Our same office portfolio is 90.3% occupied. If you look at page 19 of the supplement, you will see we have 2.5 million square feet of space scheduled to expire in our core portfolio between now and the end of 2014. All of this expiring square footage is within our same office portfolio. We expect same office occupancy to decline by less than 50 basis points by the end of this year reflecting non-tenant move-outs, then recover back to the current level of 90.3% by midyear and then 2014 between 25 and 50 basis points higher or about 90.6%. Contractual rent increases will more than offset the impact to the same office NOI from the small short-term dip in occupancy. Let me provide some color about the demand for existing space that supports our same office forecast. We are encouraged to see three sources of demand in our markets. First, the ongoing demand for new, efficient, specialized office space, the house contractors supporting the stand-up of U.S. Cyber Command. Second, continued spending on other priority commands within U.S. government. And third, successful commercial businesses in the region, including healthcare, financial and professional business services that require new office or specialized facilities to position their companies to take advantage of an improving economy. As shown on page 17 of the supplement, we leased 900,000 square feet during the third quarter, achieved a 72% renewal rate and delivered economics, so we’re in line with our expectations, third quarter statistics also included leasing 70,000 square feet of stubborn vacancy. Year-to-date, our successful inventory management efforts have resulted in resolving 266,000 square feet of stubborn vacancy with solid credit tenants in an average lease line of over six years. So generally speaking we are optimistic about our rate of production in generating new and extension leases within our operating portfolio and across most of our submarkets. We define the leasing pipeline for our operating portfolio as lease negotiations where we have a 50% or greater probability of success. During the past month, we increased our operating portfolio leasing pipeline from 585,000 square feet to approximately 725,000 square feet. In several locations we have multiple tenants seeking the same leasing opportunity which is a dramatic improvement from conditions 12 months ago. Before discussing the strong demand for new development space we continue to see in our markets, let me touch on lease in the Maryland and Northern Virginia. In our Maryland regional sub markets, which accounts for nearly 60% of our business, leasing velocity is at much higher levels than 12 months ago and we are experiencing encouraging velocity in our commercial portfolios serving Columbia Gateway and White Marsh and in our defense niche serving Fort Meade and Patuxent River. Northern Virginia accounts for roughly 20% of our portfolio. Even as the market continues to feel the effects of reduced government spending and tenant consolidation, we are generating new and expansion leasing throughout the [Nova] portfolio. During the next two to three quarters, we expect to increase our occupancy in that region as leases we are negotiating finance. Specifically our core stabilized Northern Virginia portfolio of 2.3 million square feet is 93% occupied today. We project that our core stabilized portfolio occupancy in Northern Virginia will remain above 90% throughout 2014 even after absorbing 143,000 square foot move out by Aerospace Corporation in November of next year. Turning to our development pipeline, we continue to see strong demand for new construction in many of our submarkets. Since the 2011 Budget Control Act was passed in August of that year, we have leased 2.3 million square feet of new development space. I’ll refer back to the day the Budget Control Act was passed because it’s important to remember that new development leasing opportunities have been and will continue to be identified and secured. Priorities of funds-related missions like cyber continue to receive funding and growth. The government agencies and contractors executing such commissions need new, efficient, command proximate space. Here is some detail supporting the 2.3 million square feet of development leasing. In 2012 we leased 1.2 square feet of development space. And by the way, that’s the highest annual development leasing volume in the company’s history. In 2013, we have completed 700,000 square feet of development leasing and going to execute another 200,000 square feet before year-end. Further demonstrating the government’s commitment to Cyber, since 2011 we have signed five full building leases and two partial building leases totalling approximately 650,000 square feet with customer supporting U.S. Cyber Command. If you include Cyber-related leasing in our operating portfolio then this number doubles to 1.3 million square feet. Looking at prospects for future development, in addition to the nine under construction buildings on page 24 of the supplement which are 88% leased. We are optimistic about our chances to secure leases in the next year with multiple tenants in five separate locations throughout our portfolio. If we secure all this demand, these five new buildings will total 750,000 square feet and would be 92% leased. On that note, I’ll turn things over to Steve Riffee, Steve.
Steve Riffee: Thanks, Steve. Good afternoon everyone. Primarily due to better than forecasted NOI margins, third quarter diluted FFO per share as adjusted for comparability was $0.49, the high-end of our guidance range. For the quarter, the same office portfolio represented 76% of our total square footage and 81% of total NOI. Excluding lease termination fees, third quarter same office cash NOI grew by 2.4% over the third quarter of 2012. Within the same office pool, strategic buildings namely those that are adjacent to government demand drivers, as well as those primarily leased to government and defense IT tenants represented 76% of same office cash NOI. During the third quarter of 2013, these strategic buildings were 94.8% occupied on average and ended the quarter 94.9% leased. For the third quarter strategic properties, same office cash NOI excluding lease termination fees increased 3.3% over the third quarter of 2012. We expect to improve NAV and enhance our borrowing capacity when we address the two CMBS loans that Roger mentioned. And an important point to remember is that these are loans currently in [default]. The first CMBS loan has a principal amount of $146.5 million and bears interest at 5.4%. it is secured by 14 buildings, 5 of which are in Colorado Springs and are not included in the 15 buildings we are selling. The other 9 buildings are in Airport Square near BWI Airport. The 14 buildings are 71% occupied and are forecasted to produce $8.9 million of cash NOI in 2013. As we disclosed in the Form 8-K filed in early September, we expect to convey these properties back to the lender. We could do so before the end of the year. The second CMBS loan is for $150 million bears interest at 5.7% and is secured by two office buildings in Northern Virginia. The two buildings are 91% occupied and are forecasted to produce $10.6 million of cash NOI in 2013. However we expect the two buildings occupancy and NOI to decline significantly in the second quarter of 2014. Because of the loan amount greatly exceeds our estimate of the properties’ fair values, it is likely that we will convey these properties back to the lender. And assuming we're able to do so during 2014 and that the first CMBS loan is resolved, our borrowing capacity would further improve. Now in order to take advantage of the low interest rate environment in September, we issued $250 million of 10 year unsecured bonds at a 5.4% yield. At closing, we paid down $50 million of term loans and temporarily paid down a line of credit. Longer term we have prefunded the repayment of a $66 million 5.5% mortgage that is pre-payable in December of 2013 and an $84 million 7.25% mortgage that is pre-payable on May 1, 2014. Since receiving our investment grade ratings in April, we have now issued $600 million of 10 year senior unsecured bonds at an average yield of 4.36%, which has improved our average debt maturity to 4.9 years. Now turning to guidance. We are increasing our prior range of FFO per share as adjusted for comparability for the fourth quarter of 2013 from $0.45 to $0.48to a revised range of $0.47 to $0.49. To get from a third quarter actual FFO per share a $0.49 to the mid-point of our fourth quarter range of $0.48. So frac $0.01 to reflect an early December closing on the sale of our 15 properties in Colorado Springs, so tracked another $0.02 dilution from our September notes offering. Then add back $0.02 of one-time items that negatively affect the third quarter. Our higher fourth quarter also increases full year FFO per share guidance as adjusted for comparability to the range of $1.96 to $1.98. Our new range assumes same office cash NOI increases between 2.5% to 3% for the full year. And even with heavier CapEx assumed in the fourth quarter, we forecast our AFFO payout ratio for the year to be below 75%. And as a final note, the mid-point of our new full year guidance for FFO per share as adjusted for comparability is $0.09 or 5% above the mid-point of the initial guidance that we set back in January. And only $0.02 of the $0.09 relate to that the delay and selling Colorado Springs and almost all of the remaining $0.07 of upside is attributable to improve NOI. And with that I will now turn the call back to Roger.
Roger Waesche: Thanks Steve. In summary, the long term value we are creating for shareholders through our development pipeline towards the near term moderate churning in a portfolio. Our same office portfolio has a stable outlook, demand is strong for newly developed space in our strategic tenant niche end market and we will generate capital to fund development by disposing of older or less strategic assets. We have a strong positive reputation as to go to REIT for government defense and security buildings and it serves us well. Events like the establishment of U.S. cyber command only happened once and require millions of square feet of specialized space in multiple precised locations. We will continue leveraging our specialized operating platform relationships and unique land positions to add our portfolio to capture as much of this and related businesses as possible. With that, operator, please open up the call for questions.
Operator: Thank you Mr. Waesche. (Operator Instructions) And your first question comes from the line of George Auerbach of ISI Group.
George Auerbach – ISI Group: Great, thanks guys. Steve Budorick could you maybe talk a bit about your occupancy outlook for 2014 it seems a bit more optimistic than since the quarter because of all the note move outs. Can you maybe walk us through the back fill potential for those no move outs and how that kind rolls through the year?
Steve Budorick: Sure George. Well one of the large potential move outs we are hedging against was the renewal with CSC and Maritime Plaza and I am pleased to now confirm that we’ve renewed 103,000 square feet for seven years and we agree to take back above 50,000 square feet nine months early and that’s largely what’s driving the diminishment in our same office occupancy in the fourth quarter. The other large move out that I discussed during the call occurs at the end of November in Westfields where aerospace is moving out of 143,000 square feet. But in addition to that as I mentioned, our leasing pipeline is pretty strong and robust and we have been producing nice new leasing throughout our portfolios, so we are feeling good about those numbers.
George Auerbach - ISI Group: Alright. Great thanks, then just one for Steve Riffee. You talk a little bit about the two CMBS loans that you are going to pay back to the lenders. I guess can you just help us understand, if it you get back your fingers and get back to those loans. What’s the full year impact on FFO and did I hear Roger right that it’s sort of sub five cap rate?
Steve Riffee : You heard right on the sub five cap rate. From a FFO standpoint it’s pretty much approach because the NOI and the interest saving is pretty much offset, so there is no significant impact on FFO. And from a balance sheet standpoint like on a pro forma basis, they happened as of September 30 on the 46.6% that to adjust the book value would have been 42.4%.
George Auerbach - ISI Group: That is great, thank you guys.
Operator: Your next question comes from the line of Josh Attie of Citi.
Josh Attie - Citi: Hi, thanks. Can you just talk about how much visibility you have into 2014? Last quarter you disclosed some move outs, that seems like they are happening now in the fourth quarter. So when you look out over the next five quarters and think about the 2.5 million square feet of explorations you have and you came to the inclusion that occupancy flagged modestly up. Was that a lease by lease analysis and have you reached out all the big tenants to make sure what's going on with that space? Maybe just explain to us how you came to that conclusion and what your level of confidence is in it?
Steve Riffee : Well, you hit around the nose, Josh, it is lease by lease, tenant by tenant. In the last fall there are few situations that were less clear to us, we've now had favorable outcomes from many of them and we are feeling very confident about that number. 
Josh Attie - Citi: So, the remaining large expiration, you know with a high degree of certainty, whether you're keeping them or not keeping them? And then on beyond the 60% retention rate, I guess how much visibility do you have on that backfill? I guess I'm trying to get a sense for how much of the occupancy guidance, just kind of speculative versus what you feel is locked in?
Roger Waesche : Josh, so to good to do simple math. Of 60% renewal rate on 2.5 million of square feet, is 1.5 million square feet of renewals. So that leaves a million square feet of non-renewals. And as Steve said the current pipeline of high lease likely the tenants fee is about over 700,000 square feet. So we think we're well on the way to back filling the million square feet that we could get back in the next five quarters. And it's only October. So I think our confidence level is much higher than it was 90 days ago. 
Josh Attie - Citi: And the 60% retention number, is that a number that can move around a lot or is that a number that you feel like you have locked down?
Roger Waesche : I think it's a fair number, I think we could do a little better than that, but I think 60% is a comfortable number for us at this point, again going space-been-space tenant-by-tenant.
Josh Attie - Citi: Okay. And then just separately on Colorado Springs, just to help us think about the earnings impact next year. Can you tell us what either the NOI or the cap rate was adjusted for the sale price coming down and also the lease update that you’ve done?
Roger Waesche : Well, obviously, we're going to sale it for a little over 10 cap rate. Now most of that, a lot of that won’t be embedded in our numbers in the fourth quarter because of some NOI that gets into place in the first quarter so there is some free rent et cetera so the new buyer will get the benefit of the higher than 10 cap rate. I think in terms of the NOI that we actually sell in place is probably right around at 10 cap rate a little under.
Josh Attie - Citi: Okay. Thank you.  
Operator: Your next question comes from the line of Craig Mailman of KeyBanc Capital Markets.
Craig Mailman - KeyBanc Capital Markets: Hey guys. Jordan Sadler is with me as well. I was hoping maybe you could drill into the 750,000 square feet of potential development opportunities that’s on the leasing. Kind of maybe put into buckets of what’s government related versus what’s contractor related? And how much is the contractor stuff has contracts in place versus they’re kind of kicking the tires now just in case the contract comes through? 
Wayne Lingafelter: Hi it’s Wayne. And I think I'll offer some perspective on that pipeline for you Craig. There is 750,000 square feet in five different projects. We can tell you that all five of those projects that we have line inside on our strategic tenants. It’s a combination of both build to suites and well-informed to demand. The construction starts are spread throughout the year, but the majority would be in the first half. The volumes in the range of $200 million and I will let Steve comment on some of the other questions you asked about the visibility to the demand.
Steve Budorick: Craig, we have visibility into all of the demand and that includes either conversations or high levels of awareness of requirements that we would be building to meet.
Craig Mailman - KeyBanc Capital Markets: Okay. That's helpful. And then just as we sit here the government shutdown is obviously over, but as we look back at kind of similar the function in DC and the impact it had on decision making. Kind of what are potential tenants telling you coming out of this kind of issue in terms of what you are hearing from your government contacts without the piece of contract grants. Just curious as we head into ‘14 sort of what's the potential psychological impact to be on the tenants?
Roger Waesche: Well, let me address the last point, the psychological impact, I think they have been living in a world of uncertainty for the last three, four years. So I don’t know that shutdown had that material impact on their attitude. I can’t tell you in our pipeline there are many tenants that our contractors expecting new contract awards that are working with us to plan for expanded operations as those awards are received. So business continues to be done. In terms of the impact, I know many of our customers did have employees that were contract based or funding that were affected temporarily by the shutdown, but I believe they are all back to work and it was not that big event in our world as you might expect.
Craig Mailman - KeyBanc Capital Markets: Great thank you.
Operator: Your next question comes from the line of Rob Stevenson of Macquarie.
Rob Stevenson – Macquarie Research: Good morning, guys. As you sort of nearing the end or at the end of the strategic disposition program, I mean what the appetite to putting more dispositions out there and sort of recycling the bottom part of the portfolio, in addition to just funding development? Is it just going to be fund development or can we see 100 million to 200 million in addition to that a year being recycled by you guys?
Roger Waesche: We will be a regular and continual recycler of capital and we will do it opportunistically. So there may be years where we sell 50 million and there may be years where we sell 200 million. It will depend on the capital markets, and it will depend on the circumstances surrounding individual buildings or groupings of buildings where they are in terms of stability and their acceptance into the core market for sale. So I think it’s tied to our development pipeline, but it’s also somewhat independent and that we will sell knowing that we can generate new investment opportunities, but selling is certainly a big part of their capital allocation going forward.
Rob Stevenson – Macquarie Research: Okay. And then can you guys just talk a little bit about what, if it was something in particularly or is it just a general mindset of the tenant that drove the average lease term on renewal in B/W corridor and Northern Virginia down to 1.4 in two years respectively seems awfully light on term there?
Roger Waesche: I think it has to do with the couple of specific tenants and their contracts in the case of the one Northern Virginia renewal. It was actually done early. So the lease was as due to mature until the end of ‘14 and they wanted to add a little bit of term now based on I guess the contract that they had received. And similarly in around Fort Meade we had one or two customers that were tied to contracts that wanted earlier short-term expansions.
Rob Stevenson – Macquarie Research: Okay, thanks, guys.
Operator: Your next question comes from the line of Jamie Feldman of Bank of America.
Jamie Feldman - Bank of America: I guess going to the shutdown question, was there any impact on your NOI or your cash flow from the shutdown any leases that couldn’t get paid or won’t get paid?
Roger Waesche: And actually the way the government leases work they pay in arrears, so when the government shutdown -- when the government shutdown on October 1, we were paid for September’s rent towards the end of the month of September and so we expect that we will receive October’s rent in the next couple of days if we haven’t already received it.
Steve Riffee: Most of it’s already received.
Jamie Feldman - Bank of America: Okay. And then had it persisted, how that worked out?
Roger Waesche: Well, theoretically there was no funding to pay the rent, so theoretically we could have gone period of time beyond one of the next rent payment was due and had to get paid further in arrear spot that didn’t happen and it has never happened to this company in our history. We’ve been dealing with the government for 20 years now and we’ve never had an incidence where we had a non-timely payment.
Jamie Feldman - Bank of America: Okay. And then looking ahead to the January, the base again, what do you think some brinkmanship in Washington would do to your leasing prospects or at least pushing out some of these contracts getting signed. How should we think about what to expect over the next couple of months?
Steve Budorick: I'm not sure that there is much change as Steve said. The contractors have been operating with continuing resolutions for a long period of time now. And I think it's important to note that we do help Senate to perform critical functions. I think one of the misunderstandings at our company is that, first of all our company is tied, it's seem to correlated one-for-one with DC, in reality we certainly are tied zero to DC, but we also aren't tied one-to-one, we're tied somewhat probably below 0.5. And then secondly to the extent that there has been dislocation in the defense budget, we are not proportionally impacted there because of how we’re tied in a specific budget, the piece that we're tied to and it's important to national security.
Jamie Feldman - Bank of America: Okay. And then turning to the development and redevelopment pipeline, can you just talk about the projects that are not 100% leased in your leasing prospects, the 420 NBP and Redstone?
Roger Waesche: Yeah. At 420, we have 4 floors lease, we have good deal flow on that and we expect to be announcing two leases in the coming quarter or two. And at Redstone Gateway we have 60,000 square feet where we actually had time to lease that we're going to move to a different building to create room for larger opportunities that we're working with that would require full building. And so we see demand down there, it may take a few more quarters for that to finalize, but we continue to feel optimistic.
Jamie Feldman - Bank of America: And these are contracts that are defense tenants?
Roger Waesche: Generally, yes.
Jamie Feldman - Bank of America: Okay. And then what about in the redevelopment pipeline?
Steve Budorick: There is only two buildings in the redevelopment pipeline, one is up in the Blue Bell and there we’re 60% leased on the first, on the next building we're developing there and then we've added a new project this quarter here in Columbia Gateway. We like the third long time we had a, long-term we had a building that was a part of a five building complex that was 40,000 square feet, we're going to expand it to 50,000 square feet and modernize it and we do have a lease sale for that entire newly size building.
Jamie Feldman - Bank of America: Okay. All right thank you.
Operator: Your next question comes from the line of Brendan Maiorana of Wells Fargo.
Brendan Maiorana - Wells Fargo: Thanks. Good afternoon. Probably a question for Steve Riffee, so the CMBS giveback, I think if I did the math correctly, it’s the NOI relative to the $300 million of loans on the two CMBS is around 6.5 kind of NOI yield relative to that and I guess you guys are planning on giving it back at a five yields, so that suggest maybe there is $5 million of annual NOI decline to go on those two pools of assets, is that right?
Steve Riffee: Yes.
Brendan Maiorana - Wells Fargo: Okay. And then just so there is some NOI decline there that’s not in the same store pool and then there is the giveback of or the sale rather of Colorado Springs and I gather that based on your comments that's about an $0.08 impact as we think about it for ‘14, is that right?
Steve Riffee: $0.08 or $0.09 probably, $0.09 that's how we calculate it.
Brendan Maiorana - Wells Fargo: Okay, great. So what are the likely uses of the proceeds from the $130 million from Colorado Springs?
Steve Budorick: To fund development.
Brendan Maiorana - Wells Fargo: Okay. So there is no, there is not any sort of immediate pay-off that can be used because it doesn’t look like it isn’t a whole lot rolling between now and kind of early or mid ‘14?
Roger Waesche: As I said before, we basically in our last bond offering prefunded our debt maturities that are coming up in this, that we complete paying in December and May.
Brendan Maiorana - Wells Fargo: Okay. And then for Steve Budorick just as we kind of think about the million square feet of new leasing for next year to kind of get back to occupancy levels that are in line with where you are today. Is it kind of fair to think of the capital cost associated with that in that sort of $30 to $40 a square foot range, which is I think where you were in the third quarter?
Steve Budorick: Yeah. That's a good target.
Brendan Maiorana - Wells Fargo: Okay, great. Thank you.
Operator: Your next question comes from the line of Rich Anderson of BMO Capital Markets.
Rich Anderson - BMO Capital Markets: Thank you. Can you just remind me on Westfield, you have Northrop coming out in the first quarter of the year, is that right?
Roger Waesche: That's correct, now that tenant is in the two buildings that are tied to the CMBS 1 in Northern Virginia.
Rich Anderson - BMO Capital Markets: Okay. I understand. So the 10 cap on the Colorado Springs sale, do I have this right that originally you were looking at an 8 or 8.5 cap on that deal?
Roger Waesche: Yeah 8.5%, 9% cap rate.
Rich Anderson - BMO Capital Markets: Okay. And so today that’s basically higher interest rates just come back and renegotiate the transaction that simple as that?
Roger Waesche: That’s correct.
Rich Anderson - BMO Capital Markets: How do you feel about, you talk a lot about development obviously, but how do you feel about the longer term in terms of replenishing your development pipeline. You have a lot of activity going on. But looking further out, do you think that the development effort will be bigger or smaller or say three or four years from now?
Roger Waesche: Well, we spent the summer analyzing the portfolio and our development opportunities over a five period and I think the conclusion we came to is that we thought we could deliver about $200 million worth of development based on land holdings that we have today not counting periodic fields like the one we did in Northern Virginia late last year where we did, build a suite down in that market. So I think $200 million is a good on an annualized basis.
Rich Anderson - BMO Capital Markets: Okay right. And then turning to asset sales, you mentioned basically being virtually done with the SRP once Colorado Springs is done. And then I think as Rob who mentioned other asset sales beyond that. Among them, I mean how do you feel about DC 6, how do you feel about Blue Bell long-term, are they kind of on the hit list for you?
Roger Waesche: I am going to let Wayne talk about Blue Bell and then Steve will talk about COPT DC-6.
Wayne Lingafelter: With respect to Blue Bell I think you know, Rich, we’re actively in the middle of repositioning for that development. Our view there is that we are investing there to create value for our exit. We’ve redeveloped 3 of the 5 existing assets there. And think that we’ve got an orderly asset over the course of the next several years.
Rich Anderson - BMO Capital Markets: Static, I guess I was asking for timing on that one knowing it was a sales candidate. So that’s the timing for several years over the next…?
Roger Waesche: It’s not likely to be ‘14 because we’re still going to be finalizing the leasing and development.
Rich Anderson - BMO Capital Markets: And then timing on DC-6?
Steve Budorick: We don’t consider that a sale asset. So we just finished a year where we leased 3.3 megawatts of space and we reoriented marketing and deployment of marketing efforts towards making that a business that’s aligned with our underlying tenant community. And we have a good attraction in that effort. So we don’t consider those trends a source of recycling at this time.
Rich Anderson - BMO Capital Markets: Last question is, the whole CMBS giveback, do you think that there is any issue there with you in terms of reputation with lenders or the market other participants by giving back property?
Steve Riffee: Rich, this is Steve. We took this whole process quite seriously. It wasn’t really the first option that we consider. So we have negotiated the best we could with, it’s very hard to find someone that isn’t restricted by processing rules that can negotiate with you on economic terms. But we proposed several different alternatives that we thought refer to the lenders, but we couldn’t come to any agreement on any value that was fair to our shareholders or our bondholders. So that's where we ended up and this is what we think the right conclusion is. So I think we clearly try to see if we can structure something that would work for everybody and just couldn't get anyone to negotiate with us on that basis.
Rich Anderson - BMO Capital Markets: Okay. I Understood. Thank you very much.
Operator: Your next question comes from the line of Tayo Okusanya of Jefferies.
Tayo Okusanya - Jefferies: Hi. Good afternoon everyone. Just another quick question just in regards to the uplift in guidance just trying to understand all the moving parts, is that really from Colorado Springs being sold later than you're expecting, how much of it is better than expected fundamentals. I'm just trying to understand all the moving parts that guidance out?
Steve Riffee: Okay. This is Steve. I'll go through the math that I covered on the call. So if you look at, we referred to the new full year guidance range relative to the initial guidance range. The midpoint of the initial guidance made back in January was $1.88. And the midpoint of the current guidance range for the full year is a $1.97. So that's a $0.09 increase. Only two of those $0.09 is because of the change in timing of our Colorado Springs sale, two months later than what we assumed in our initial guidance. The rest of it is improved NOI.
Tayo Okusanya - Jefferies: Got it. Okay. That's very helpful. And then the second thing, any update on the [Merck] move out?
Steve Riffee: They are still scheduled to move out February 15th, at which point we will go in and clean-up the building and start to analyze our auctions with respect to that particular building.
Tayo Okusanya - Jefferies: Okay, that’s helpful. And then lastly just DC-6 and just if you could give some commentary about what you guys are seeing in the Northern Virginia data center market and what pricing looks like, what demand looks like that would be helpful?
Steve Budorick : Demand has existed at pretty stable levels over the last three or four quarters. I wouldn’t call it overly high demand, but it’s steady. Right now we're tracking above 11.5 megawatts of users that we've proposed our in advance proposals with and that’s pretty consistent to what I’ve reported over the last few quarters and that demand really comes in a couple of different forms, some is the very targeted government oriented co-location business and some is larger wholesale requirement. 
Tayo Okusanya - Jefferies: Got it. Very helpful. Thank you.
Operator: Your next question comes from the line of Michael Knott of Green Street Advisors.
Michael Knott - Green Street Advisors: Hey guys. Just Roger curious or Steve on the balance sheet obviously you guys are focused quite a bit on that Roger, since he became CEO and he made quite a bit of progress on our numbers are still higher than average leverage by a decent amount including preferred. And so just curious how you think about balance sheet over the next few years if you’re going to be maybe developing couple $100 million a year as what it sounded like so just curious I think about funding that activity particularly in years where maybe you’re only selling $50 million of properties.
Steve Riffee: Right. So first of all for the next 12 months or so we're in good shape between the Colorado Springs sales and the $300 million of CMBS that gets us $430 million so that gets us a good running start on the next year or two of development. Beyond that and we still do have a goal of reducing the company’s leverage overtime and that will be done by the NOI that we will be putting in place from all of our development, it will be done by leasing up our core portfolio from 88% to 92% to 93%, it will be done by leasing up [copy] C6. And then we will continue to look at recycling assets as they mature. So the company does have a goal because it is a developer of producing its leverage overtime and I think we have a plan to do that. With that $200 million annual pace of development in KO going out a little in the risk factor or it is still like demand for new bills will continue to increase.
Roger Waesche : Generally speaking it’s demand that where we can sign the tenant up, ahead of time or it’s what we call inform demand, where we have a clear understanding that certain tenants need buildings in certain timeframes.
Michael Knott - Green Street Advisors: Okay. Thanks.
Roger Waesche: The point is we’re going to be lower risk developer going forward.
Michael Knott - Green Street Advisors: Okay. And that doesn’t contemplate any new development markets at this time?
Roger Waesche : That's correct.
Michael Knott - Green Street Advisors: Thank you.
Operator: Your next question comes from the line of Dave Rodgers of Robert W. Baird.
Dave Rodgers - Robert W. Baird: Yeah. Good afternoon guys. I guess maybe going back to the data comment with the whole government datacenters met out in Utah and then we've talked about it before. But is that bringing any interest back into kind of the platform that was I think originally thought about when you undertook the data center business that you get anymore traction through the government channels with that is that just larger sales?
Steve Budorick : That really is -- it’s not my position to talk about that program, but that datacenter in Utah is unrelated to activities we ever contemplated or currently contemplate for DC-6.
Dave Rodgers - Robert W. Baird: Okay. And then maybe either Steve or Wayne, I didn’t hear you make any specific comments about San Antonio and if you did, maybe can you kind of echo those in terms of the demand levels down there and any incremental increases related to leasing and redevelopment?
Steve Budorick : Well we are fully leased in San Antonio. I remind you it’s just for one commercial building that doesn’t really serve the defense industry we have one space in lease. And we anticipate that we will have an opportunity to develop into demand in the next year or so in San Antonio.
Dave Rodgers - Robert W. Baird: Okay. And then I guess maybe last question on land sales, good source of capital for you, maybe some color on how quickly you think you can monetize some of that either through land and home building sales et cetera, is that something that’s on the plan for the next 6 to 12 months?
Wayne Lingafelter: Dave, it’s Wayne. The answer is it is in the plan for the next 6 to 12 months. We have been actually working quite hard at it for the balance of the year. We have a particular focus in White Marsh, we have got a 128 of our non strategic acres are located there, we’ve got several what we think are very well located land positions, but positions that don’t fit our long term strategic plans. We do have one of those positions under contract although it’s not hard December contract and scheduled to close that towards the middle of next year. So we are encouraged by that and we’ve other activity on portions of that portfolio, that’s we are most active in terms of reaching our target on the $50 million SRP program, but we do have line of sight on several other land sales throughout the non-strategic portion of the portfolio.
Dave Rodgers - Robert W. Baird: Great, thank you.
Operator: (Operator Instructions) And your next question comes from the line of Michael Carroll of RBC Capital Markets.
Michael Carroll - RBC Capital Markets: Thanks. I have the majority of the defense contractors already right-sized their operations given the current DoD budget outlook or should we expect additional tests going forward?
Steve Budorick : We believe around the tail end of the rightsizing, if we go on for several years tenants that we mentioned earlier is we just took some space back and we think that’s near the end of the rightsizing. Well, there will be one more next year that we anticipate with that tenant and in other market for giving near the end of it.
Michael Carroll - RBC Capital Markets: Okay, good. And then with regard to the potential development starts that you mentioned on the call, Steve. Where should we expect those to occur at this time?
Steve Budorick : Well, they include tenants with five separate locations, and we really don’t want to be more specific in that.
Michael Carroll - RBC Capital Markets: Okay. And then Steve, how much of that stuff earned vacancy still left to lease up?
Steve Budorick : It is about a million square feet. The interesting thing about that is each quarter you knock off a chunk you got another chunk that’s maturing. So it will take just another four quarters before we start really getting on the run, but it is just slightly over a million square feet on our operating portfolio.
Michael Carroll - RBC Capital Markets: Okay, great and thanks.
Operator: This concludes today's question-and-answer session. I will now turn the call back to Mr. Waesche for closing remarks.
Roger Waesche: Thank you all again for joining us today. If your question did not get answered on this call, we are all are in the office and available to speak with you later. Thanks very much and have a good day.